Operator: Good afternoon, ladies and gentlemen, and welcome to HireRight's First Quarter 2023 Conference Call.  Joining today's call is the company's President and Chief Executive Officer, Guy Abramo; Chief Financial Officer, Tom Spaeth; and Andrew Hay, VP of Treasury and Investor Relations [Operator Instructions]. I remind everyone that management will refer to certain non-GAAP financial measures. An explanation and reconciliation of these measures to the most comparable GAAP financial measures is included in the press release issued today, which is available in the Investor Relations section of HireRight's Web site. Also during this call, management's remarks will include forward-looking statements, including related to macroeconomic conditions, demand for the company's services and the company's technology improvement and cost reduction initiatives. Such statements are predictions and actual results may differ materially. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements is contained in the Form 10-K filed with the Securities and Exchange Commission in the sections of that documented entitled Risk Factors, Forward-Looking Statements and Management's Discussion and Analysis of Financial Conditions and Results of Operations. Now, it's my pleasure to turn the call over to Guy Abramo.
Guy Abramo: Thank you, operator, and good afternoon. I appreciate everyone taking the time with us as we share our first quarter 2023 results. We are very pleased to announce that despite continued macroeconomic headwinds, our first quarter 2023 revenue was $175 million, which, although down 12% versus previous year has us tracking to our full year plan. We continue to see hiring patterns during the first quarter, which were consistent with our previous commentary. Deferment of essential but noncritical roles continues across many industries. However, let me reiterate there is still strong demand for talent and hiring continues just not at the pace we saw during the pandemic recovery. Hesitation appears to be driven primarily by a general nervousness on the economic outlook and the impact of Federal Reserve actions. As was the case last quarter, the headwinds continue to be strongest in the technology sector, where we saw demand decline 42% year-over-year despite essentially 100% retention within that customer base. We expect this year-over-year comparison challenge to continue in the second quarter and begin to alleviate in the second half of the year. Although we have seen a significant decline in the number of screens in the technology vertical, this result is aligned with the public announcements of staff rightsizing that has dominated the headlines and is already reflected in our guidance. Similarly, the service sector showed a decline of 22% as many of these customers are dependent or aligned very closely with the tech industry. Our remaining verticals showed a decline of just 3% on average and outperformed our expectations. Healthcare and Transportation, in particular, continued to show resiliency and posted modest year-over-year gains. In total, our core verticals reported approximately a 15% decline versus the same period last year. Despite the clear slowing of hiring in this macro environment, there continues to be relatively healthy activity, just not at the pace we experienced in the first half of 2022. Our new business engine remains healthy with strong customer wins, upsells and late-stage pipeline. New logos added since the beginning of 2022 contributed more than $9 million in revenue to the quarter, a strong start to the New Year. We have more than $24 million of annual contract value in late-stage pipeline that we expect to close over the next few months. And as is typical for our account management teams, we continue to exceed our upsell targets with our existing customers. The exceptional service our account managers and customer service teams provide has also driven our strong gross retention rate of 99%. This indicates the market continues to value the quality and thoroughness in our investigations. Turning to expenses and profitability for the quarter; we continued to improve our cost of service delivery, driving gross margins, excluding depreciation and amortization, up 50 basis points versus Q1 of '22 to 44%. This improvement has been driven by the geographical optimization of our labor mix and implementation of data cost-cutting initiatives. Q1 is historically our seasonally lowest quarter, and we fully expect to grow these margins for the remainder of the year similar to 2022. Adjusted EBITDA of $33 million compares to $42 million a year earlier, reflecting a combination of lower revenues and negative operating leverage. In the first quarter, we announced and began executing a restructuring plan focused on reducing and rightsizing our global expense base, including direct and indirect costs. We anticipate these changes will continue over the remainder of the year and will begin to favorably flow through our results as soon as the current quarter. Tom will provide additional details on that shortly. At HireRight, we understand the significance of local expertise with conducting employment background screens and believe that our local presence and global platform continues to set us apart from other screening providers. As such, this capability is opening the door for new business in our international regions. Subsequent to the quarter, we --continued our international expansion in Latin America with our acquisition of Inquiro Vitae in Argentina, enabling us to extend our in-country background screening services to small and medium businesses. HireRight customers and employees in Argentina will benefit from faster identity checks, local fulfillment of verifications through direct connections to local data sources and commercial vendor-to-vendor screening services. Turning to our technology initiatives; we continue to make measured progress in line with the broader macroeconomic environment. We are expanding our development team in India as we continue to further our automation efforts while leveraging leading cloud-based technologies. Our focus remains on precision first and foremost, while simultaneously improving speed and innovation. In closing, we are pleased with our results given the backdrop of the broader macroeconomic environment. Unlike previous downturns, which have had an identifiable catalyst, this cycle continues to be unique with as many positive as negative signals. While always maintaining financial discipline, we are focused on our key initiatives that include growing gross margins, upselling and expanding packages to existing clients, adding new global logos and enhancing our technology stack with the objective of delivering thorough and accurate searches to help our customers reduce risk. The underlying demand for talent remains very strong and the underlying drivers of increased hiring velocity are here for the long term. Our talented and dedicated team's focus on these principles gives us confidence in the long-term outlook and our ability to create significant shareholder value over time. With that, I'll turn the call over to Tom for a closer look at our first quarter financial performance and our outlook for the remainder of the year. Tom?
Tom Spaeth: Thank you, Guy. Good afternoon, everyone, and thank you for joining our call today. As Guy mentioned, our first quarter revenue was $175 million, down 12% versus the prior year. The demand environment has been consistent with our views going into the year as well as those underlying our annual guidance. First quarter revenue also includes a $1.1 million negative impact from foreign currency. As Guy noted, our technology vertical saw the steepest decline at 42%, and our services vertical declined 22%. Some of our leading services customers, our large technology-oriented BPOs or professional service firms that have significant exposure to the same underlying labor dynamics as our technology customers. As for our other verticals, healthcare and transportation were up slightly year-over-year, and the remaining verticals were down a combined 5% year-over-year. Our core four verticals of healthcare, technology, transportation and financial services now represent approximately 54% of total revenue and were down slightly from prior year. Revenue from new customers added over the past year contributed nearly $10 million to the quarter, and revenue from existing customers, excluding new and lost customers, was down 12%. Looking at our geographic split, international revenue based on applicant location was approximately 14% of total revenue. EMEA after adjusting for the $1 million currency impact was down approximately 8% versus the prior year. APAC and India continue to be impacted by the softness in technology, and were down a combined 24% from the prior year. Gross margins, defined as revenue less cost of service and excluding depreciation and amortization, improved 50 basis points versus Q1 2022 to 44%. When further adjusting for restructuring charges, the year-over-year improvement was more than 120 basis points. Although down when compared to Q4, this is consistent with our historical seasonality and our expectations. We expect to grow these margins in a similar trajectory as 2022 and are confident that our team's attention to rightsizing our domestic and offshore labor mix, flexing variable labor, increasing automation and vendor cost management is in line with our plan. First quarter adjusted EBITDA margin declined to 18.8%, primarily attributable to the lower operating leverage from declining revenue. To address the operating leverage issue, we have embarked on a restructuring plan targeted at reducing operating expenses, which includes a reduction in global SG&A positions, offshoring and outsourcing certain nonstrategic functions, further streamlining our real estate footprint and pulling back on certain discretionary costs. These targeted actions will begin to show benefit in our overall 2023 results beginning in the current quarter. Taking these actions like other organizations are doing allows us to drive better bottom line margins resulting from our improvements in gross margin. In addition to these actions, we continue to flex and rebalance our direct labor, increase our focus on data cost reductions and continue to see incremental benefits from our automation initiatives. Our overall focus on continued cost optimization and efficiency is in support of achieving our long-term EBITDA margin goals of 30%. Digging deeper into SG&A expenses in the quarter, excluding stock-based compensation and restructuring charges, employee costs increased 5% or $1.3 million, driven in part by hiring and technology and go-to-market positions as well as higher health care costs. Other non-restructuring related operating expenses were up $1.4 million, driven primarily by third-party technology costs. Adjusted net income for the quarter was $13.5 million compared to $29.8 million in Q1 2022. The reduction of $16.3 million was driven by lower operating profits and a $4.8 million increase in interest expense. Finally, adjusted diluted EPS for the quarter was $0.18 compared to $0.37 a year prior. Interest expense increased from $7.6 million to $12.4 million, driven by higher interest rates on our floating rate debt. Free cash flow for the quarter was down $3.1 million compared to the prior year period, largely driven by higher interest payments. Historically, Q1 results in a use of cash as we prepare for a stronger Q2 and Q3. At the end of the quarter, we had no draws against the revolver and had $697 million outstanding on our first lien loan. Our leverage ratio ended the quarter at 3.2x and we also ended the quarter with $127 million of unrestricted cash on the balance sheet compared to $162 million as of December 31, 2022. The primary use of cash during the quarter stems from our previously announced share repurchase program. For the quarter ended March 31, 2023, the company repurchased over 2.3 million shares of common stock for approximately $26 million. We will continue to evaluate our cash allocation options and monitor market conditions with respect to the repurchase program. We remain confident in our business prospects and our ability to generate ongoing positive cash flow, and we believe we have sufficient liquidity to operate and grow the business while maximizing shareholder value. Looking ahead, we continue to see steady volume across almost every vertical, however, lower than the same period a year ago. In the near term, we anticipate some of our customers may continue to defer some hiring decisions primarily driven by uncertainty regarding the sustained direction of the macro environment. As we've noted on previous calls, Q4 and Q1 has historically been our seasonally lower quarters, with Q2 and Q3 being stronger and in line with each other. Our Q1 results exceeded our expectations and support our annual guidance. With this in mind, we are reiterating our full year guidance for 2023 of revenue in the range of $720 million to $745 million, adjusted EBITDA in a range of $165 million to $175 million, adjusted net income in a range of $100 million to $110 million, adjusted diluted earnings per share in a range of $1.30 to $1.43 based on a fully diluted share count of $77 million. We will continue to monitor the macro environment, actions by the Federal Reserve, hires, quits and job openings and actively engage with our customers to monitor demand, manage vendor relationships and costs and adjust our operating practices to reflect market conditions, maximize margins and create long-term shareholder value. With that, operator, we can open the call for questions.
Operator: [Operator Instructions] Our first questions come from the line of George Tong with Goldman Sachs.
George Tong: You mentioned that hiring patterns are consistent with your last commentary. Can you discuss how base revenues performed over the course of the quarter, including exit rates? And talk about how you expect revenue growth to come in, in 2Q, 3Q and 4Q relative to 1Q?
Tom Spaeth: So as we mentioned on the call, we think the patterns that we saw in Q1 were consistent with what we had expected to see. We talked about the seasonality that we typically experience in Q4 and Q1. Obviously, we saw a little bit better but not much in Q1. However, we typically see a kind of seasonal peak in Q2 and Q3. We expect that to be no different this year than any other year except for off a little bit lower volume than what we might have seen in 2022. And what we've seen so far is consistent with that. So we're not giving specifically quarterly guidance for Q2 and Q3. We're going to stick with the annual guidance and outlook. But generally speaking, we expect to see improvements in Q2 over Q1, just like we've always done historically. So we wouldn't expect any change there. And there's nothing we've seen year-to-date that would cause us to change that guidance.
George Tong: And then on the automation initiatives, you made progress in the quarter with fulfillment automation leveraging technology. Can you discuss what additional steps you plan to take to drive further efficiencies over the remainder of this year and into next year?
Guy Abramo: We have a whole slew of initiatives ongoing. The one that we always talk about is the large project that we have ongoing to automate the removal of labor on our fulfillment systems. We've talked openly about the new verifications module that's been rolled out and is in production. But we don't just focus on automation on the fulfillment side. We've also got initiatives that will continue to automate our data entry processes, the acquisition of data for the uses of [Indiscernible] acquisition of data on verifications. We like everybody else, continue on the development using robotic process automation to manage different processes and ensure that we can automate as much as possible. So that will be a never-ending set of work all targeted on either eliminating process, taking out labor, reducing demands on labor, improving efficiency, all, again, with the objective of us launching towards a 30% EBITDA margins down the road.
Operator: Our next questions come from the line of Andrew Nicholas with William Blair.
Andrew Nicholas: The first one I just wanted to ask is maybe a bigger picture question on kind of the nature of your client conversations over the past couple of months. I know you said that the hiring patterns are relatively consistent with Q1. But are the nature of your conversations with clients have they changed a lot? I think you talked about macro uncertainty being the primary driver of weakness. But just curious if you're hearing anything from your clients that's different from what you've heard earlier in the year.
Guy Abramo: It's pretty consistent, Andrew. In fact, what I've said before is there's more uncertainty and nervousness than explicit -- we expect hiring patterns to decline or increase just -- it's a strange time in that just the level of uncertainty that we're hearing from clients is pretty much across the board. There's not a lot of, hey, we think from Q2 to Q3, we'll change our hiring patterns from X to Y, there's none of that. It's just continued nervousness about what's going on in the macro environment. But I would tell you, for the most part, there's a general sense that the second half of this year will improve over the first half. And again, that's just me reading the tea leaves from the tone from our clients, but I wouldn't cast that in stone for sure.
Andrew Nicholas: And then just following up to some of the weakness that you saw last quarter on the government front. Has that -- any of those pressures eased relative to the first -- or relative to the fourth quarter, rather, I think you called out just a lack of applicants for a bunch of open roles at a larger client. Has that changed at all?
Guy Abramo: So that has improved. First quarter is actually seasonally a low quarter for them, but it definitely has improved. They were -- they're still down year-over-year but not as substantial as it was in the fourth quarter.
Operator: Our next questions come from the line of Kyle Peterson with Needham.
Kyle Peterson: I wanted to touch on gross margins. Nice to see in 1Q, the 50 basis points of year-on-year expansion. I guess, just kind of thinking for the balance of the year, I get there's some seasonality there. But is that a reasonable expectation for the rest of the year on the gross margin front, at least when kind of looking at a year-over-year comparison here?
Tom Spaeth: So what we're trying to point out to folks is that two things. One, that year-over-year, in other words, Q1 over Q1 improvement that we saw when you normalize for some of the restructuring activities, it's actually about 120 basis points better than last year's Q1. So off to a really good start and like we said, ahead of our plan, what we were targeting. And what I tried to indicate, and it sounds like I didn't do a great job. So I need to be a little bit more specific in terms of the progression that we're going to make throughout the year. If you go back and look at the gross margin progression that we made last year, we expect to make similar progression this year as well quarter-to-quarter, but starting at a better starting part, a better base level where we started Q1 this year. So if you go back -- without giving you specific numbers, what I would point people to is to take a look at the progress we made last year, and I would expect to do something similar to this year, but starting at a higher base where we started Q1. So look at how we did Q2 last year versus Q1 last year and so forth and so on. Does that make sense?
Kyle Peterson: Just a follow-up on new logos and contribution from new logos. Good to see the disclosure. I think you guys said about $10 million in revenue from new logos in the quarter. Just want to see in your guide, how that's tracking relative to initial expectations? And what's the pipeline for more logos to add kind of in the balance of the year versus what's in the guide today?
Guy Abramo: In terms of new business, we're right on the plan that we expected based on the pipeline that we had coming into the year, and we are very pleased with the size of the new business pipeline that we're sitting in front of now. We also mentioned that we have $24 million of contract yet to be implemented revenue getting ready to launch. And then there will be more after that, right? So I know it may be hard for you to model. But I would tell you we're bullish about our -- the existing performance of new business. And given what's in the pipeline, we remain very confident in continuing to win new business and take share.
Operator: Our next questions come from the line of Mark Marcon with Baird.
Mark Marcon: With regards to the restructuring charge that was taken during the quarter, is that the expense of the restructuring charges that we should expect over the balance of the year? How should we think about restructuring charges over the course of the year? And what are the expected savings for this year and potentially what may end up spilling over into next year and how quickly we could end up seeing those.
Tom Spaeth: We didn't have that in the script, but it is in the Q that got filed this afternoon. So in the Q, I believe, partially split between the restructuring footnote and MD&A, we talk about the further charges we'll be taking the rest of the year, I think, in the order of $18 million to $20 million roughly of incremental because the plan is ongoing. We've executed some of it at the end of Q1, but it's still ongoing for probably another six months or so here. And the estimated benefits resulting from this are in the neighborhood of $50 million. So it is very significant, part of which we haven't guided in terms of how much is built into this year. But clearly, our focus is on delivering that EBITDA margin and the guidance we've provided, and that will certainly go a long way towards helping us achieve that. Obviously, we're not going to achieve all $50 million of that this year, but we do believe it's circa half of that.
Mark Marcon: So roughly around half might be delivered this year and half next year?
Tom Spaeth: Yes, I'd say $20 million to $25 million this year, yes.
Mark Marcon: And then you mentioned that the hiring trends are steady. Do you mean -- like could you just give us a flavor for like how things have trended since December? Like was December at the low point on an absolute basis? Obviously, it's a seasonal low point. But I'm wondering, did you see -- were things relatively steady January through March? And how are they looking in April? And how should we think -- you mentioned Q2 and Q3 are seasonally high points, should we look back to past years, maybe '21 is not a good year. But other than that, kind of to look at what the seasonal pattern might be or are the impacts on tech and professional services such that those normal patterns are going to be different?
Tom Spaeth: I think -- so you got a couple of questions here. The first part of the question about how things started out. Definitely, December, January, we would say were kind of the low point. January always gets off to a slow start, people a little bit slow coming back from the holidays and resetting budgets, but we definitely saw the relatively normal ramp we would expect in February and March and into the current quarter. So again, our point about seasonality and how we feel about our seasonality curve still holds, right? So there's nothing we've seen that changes our view on that. The only thing I would say in terms of looking at annualized or comparisons -- it's been a couple of years since we've had a normal cycle, right? We had the pandemic affected year, and then we had this huge surge of growth coming out of the pandemic. So it's not necessarily a normalized view for 2022, but it's not far off from what we would expect. I would expect it to be the same level of ramp that we saw last year when tech was going gangbusters in the first half of the year. But we're certainly seeing the normal seasonal strength we would expect.
Guy Abramo: Mark, I think just to add to what Thomas was saying there, Tech is a little bit of the one exception. I mean, to have the tech sector down 42% year-over-year, there's clearly a different set of hiring plans that we're seeing from all of our major tech clients, and you know who we have. We have all the largest the largest tech logos that are there. So -- but the other -- I would tell you, other verticals that are not as impacted by tech, Tom pointed out, the services sector that's heavily reliant on that economy. That has also been impacted. But everything else is still hiring at very, what I would say very robust levels, albeit just not the accelerated patterns we saw coming out of the pandemic, but it's still healthy.
Mark Marcon: And then what sort of -- you gave us the EBITDA, how should we think about free cash flow and capital allocation and how comfortable are you with the level of interest payments that you have?
Tom Spaeth: We feel really good about the cash outlook for the business. Q1 is historically a usage of cash for us. I believe, if I go back to last year, cash flow from operations was slightly negative even last year and that strength of the year. We always tend to generate cash in Q2, Q3 and generally Q4 as well. So we don't expect that to be any different this year than it has been in previous years. So we feel really good about our ability to generate cash. Obviously, we've moderated a little bit on our cash and investing and particularly some of our CapEx. We're still focused on our automation project, but dialed it back a little bit from a spend perspective just to make sure that we're keeping up with kind of the overall macro environment. We did make a few acquisitions relatively small that we've announced that Guy talked about -- and it's [Indiscernible] in the press release as well. We will still be moderately active in the M&A side of things. But as you know from our historical track record, these will be relatively small bite-sized transactions that won't have a material impact on the balance sheet. The single biggest impact we saw on the balance sheet, obviously, was the share repurchase program over the first quarter. And we'll continue to monitor that in the market conditions and decide how we want to proceed. But regardless of whether we want to fund further share repurchases or the type of M&A that's on our radar, we feel really good about our cash position.
Operator: Our next questions come from the line of Andrew Jeffrey with Truist Securities.
Gus Gala: It's Gus stepping on for Andrew. My first question is could you guys talk a little bit about the competitive environment amongst the top three? Have we seen a shift by clients to single sourcing on the background screening vendors? And can you also talk about pricing in the industry perhaps in pricing costs or anything?
Guy Abramo: Gus, this is three big questions, all rolled into that. So first on the -- in terms of the competitive environment, I would tell you that the current environment is really no different than it's been other than I think the three of us continue to take share from smaller players. I would tell you that we're out there competing hard against the other two, but if you're asking me is the sort of irrational behavior out there because of the current environment, I would tell you not. I think what you're seeing is clients are moving to quality and are trying to reduce their risk and make sure that they're using background screening companies that can invest in the requisite technology needed to service their needs, especially at the enterprise level. The trends towards single sourcing is no different than it's been in the past. We continue to see large global multinational companies looking to consolidate to background screeners particularly if they're undergoing a large change in an applicant tracking system and they want to be able to do that, especially those that are more risk-averse and want to hire someone like HireRight, who does a superior job in terms of thoroughness and investigation. So we've seen that as an advantage, which is reflected in our numbers as well. And the pricing environment, I would say, is as steady as it's been in terms of -- it doesn't really take the lowest price to win an enterprise deal. It takes the best solution to win an enterprise deal. There's -- I think pricing comes into play more when your own clients are going to RFP, and they're trying to get a little bit better deal for you. But our focus with our existing clients has always been to growing average revenue per order by upselling and cross-selling. So we feel pretty good about that as well. Did I touch on all three there?
Tom Spaeth: And I would add more point about pricing. We are always looking to take price wherever we can, right? So we go through an annual review every year, product-by-product, market-by-market, vertical geography, whatever it may be. And we try to take price wherever we can, and this year will be no different than any other year.
Gus Gala: My second question is could you talk a little bit on the variation maybe on economics or package density if you will on the background schemes maybe you conduct in those -- the core four verticals versus that other 46% of revenue.
Guy Abramo: Well, in general, we talked about this before, the core four verticals, one of the things that we like about those industries is they're either compliance-driven or they are heavily regulated. So their packages tend to be more comprehensive meaning there's more elements in those packages. So the average revenue per order for those verticals is generally higher than it is for other verticals. The reason why we like those challenges as we are the most thorough background screener in the industry. And people in those core four verticals are the most interested in the most complete solution available, which is why we're so successful there. And exactly to your point, like it because of the larger package density, the larger average revenue per order compared to the rest of our client base.
Operator: Our next questions come from the line of Jason Celino with KeyBanc Capital Markets.
Jason Celino: I guess my first one, it sounds like the new business pipeline is holding in relatively well, all things considered. So that's great. But any changes to close rates or any of that type of activity given the macro?
Guy Abramo: Jason, no. I mean, in fact, I think we're seeing success not only in deploying new business, but we're seeing an increased activity in the number of RFPs, both in inbound requests for new business as well as our sales teams generating new business on its own. It's been pretty strong and continues to be that. It's something that I would tell you that we've seen since the pandemic. I've talked about this before, even during the pandemic when base revenue was down so significantly, we still saw a lot of activity for new business, and we continue to see -- that hasn't stopped. We continue to see it during this period of economic uncertainty as well. Sales teams are busy.
Jason Celino: And then Inquiro Vitae, I think that's how you say it. On a prior question, you mentioned wanting to be moderately active in M&A going forward. I think this is a reverse acquisition you've made since going public. Is this a subtle change that is just a reflection of market valuations and macro? Just curious on that.
Guy Abramo: So Jason, it was part of our strategy, right? The general strategy on M&A is to look for either companies that have a product capability that we would prefer to buy versus build, which led to the investment that we made in the [I-9] business that we talked about at the last quarter in GryphonHR. And then the investment in acquisition of Inquiro Vitae is to strengthen our position in Argentina and in a few other markets in South America for two purposes. One is we're already there, but we wanted a presence there to better serve the existing clients we have. And this was just the best way for us to solve that problem.
Operator: Our next questions come from the line of Stephanie Moore with Jefferies.
Stephanie Moore: I think just for one point of clarification, I think you -- when kind of outlining the adjusted EBITDA margin performance for the quarter, I think you outlined some of the restructuring charges, the outsourcing, some nonstrategic functions, some reduction in SG&A, real estate optimization. Were any of those changes and because you look at your -- were any of those accelerated since the start of the year, whether it's the restructuring plan or anything else that maybe might be different from the guidance that was kind of given to start the year?
Tom Spaeth: So we started contemplating a lot of these changes going into the year. And certainly, a lot of this was formulated in our guidance when we guided that was just whatever $45 million not even 60 days ago, right? So a lot of that was built into that. I would say there's going to be a little bit more than we had even factored in probably going back then. Certainly, when we talk about the $50 million number you'll see us reference in the Q. Not all of that was certainly factored in for the year. So we certainly think there's upside longer term, but I would push a lot of that to 2024.
Stephanie Moore: And then maybe switching gears to -- if you could talk a little bit about what you're seeing from your SMB customers. You clearly called out tech as being very weak, but if you could kind of bifurcate what you're seeing between your larger or national accounts and then SMB.
Guy Abramo: So SMB continues its recovery from the pandemic. They were certainly one of the hardest hit sectors. We saw -- started to see some positive signs from SMB in the fourth quarter that continued into the first quarter. But it's mix. The problem with lumping SMB is certain small businesses are doing well and certain ones are just not recovering. So it's a little bit of all over the place, Stephanie, to be honest with you.
Operator: There are no further questions at this time. I would now like to hand the call back over to Guy Abramo for any closing remarks.
Guy Abramo: All right. Thanks, operator. Appreciate it, and thank you, everyone, for joining the call today. As you gathered from the call and in fact, the current earnings season, the macro environment continues to dominate and impact our investment decisions, including hiring those of our clients. Our management team continues to be focused on managing up in cross-sells, internal and data costs and, of course, customer retention, all activities that we can influence through great execution. And while we're making good progress on our automation and other margin expansion initiatives. And while we are confident in our ability to deliver results, we'll continue to monitor the greater macroeconomic environment and customer activity and respond accordingly to focus on driving profitability. So we look forward to keeping you posted as we move through the next three quarters. And as always, please don't hesitate to reach out to us with any questions. Thanks again, and enjoy your evening.
Operator: Thank you. This does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.